Operator: Thank you. And welcome to Textainer’s Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be provided at that time. As a reminder, today’s conference call is being recorded. I will now turn the call over to Ankit Hira, Investor Relations for Textainer Group Holdings Limited.
Ankit Hira: Thank you. Certain statements made during this conference call may contain forward-looking statements in accordance with U.S. securities laws. These statements involve risks and uncertainties, are only predictions and may differ materially from actual future events or results. The company’s views, estimates, plans and outlook as described within this call may change after this discussion. The company is under no obligation to modify or update any or all statements that are made. Please see the company’s annual report on Form 20-F for the year ended December 31, 2020 filed with the Securities and Exchange Commission on March 18, 2021 and going forward, any subsequent quarterly filings on Form 6-K for additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements. During this call, we will discuss non-GAAP financial measures. As such measures are not prepared in accordance with generally accepted accounting principles, a reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures will be provided either on this conference call or can be found in today’s earnings press release. Finally, along with our earnings release today, we have also provided slides that accompany our comments on today’s call. Both the earnings release and the earnings call presentation can be found on Textainer’s Investor Relations website at investor.textainer.com. I would now like to turn the call over to Olivier Ghesquiere, Textainer’s President and Chief Executive Officer for his opening comments.
Olivier Ghesquiere: Good afternoon, everyone and thank you for joining us today for Textainer’s third quarter 2021 earnings call. I will begin by reviewing the highlights of our third quarter results and then provide additional perspective on the industry. Michael will then go over our financial results in greater detail. After which, we will open the call to your questions. I am proud to deliver yet another quarter of very positive results. This reflects the consistent execution of our strategy to drive profitable organic growth with a focus on optimized long-term CapEx as well as continued operational and financial efficiencies. In addition, we continue to prioritize efficient capital allocation to our active share repurchase program. And I am also very pleased to announce the reinstatement of our common share dividend program, which is supported by our strong and growing cash flow generation outlook. For the third quarter, rental revenue increased 8% sequentially, when excluding non-recurring income from the second quarter and 31% compared to the third quarter of 2020 driven by impressive fleet growth in a positive market environment. Adjusted EBITDA increased to $184 million, a 55% growth from the same quarter last year and adjusted net income was $77 million or $1.52 per diluted share, which represents an annualized ROE of 22%. As we reached the end of the traditional peak season, our performance continues to be supported by elevated trade volumes and the historic level of CapEx we deployed during the pandemic. The ongoing demand and logistical challenges causing supply chain bottlenecks remained the main factor driving capacity utilization for ships and containers. This in turn has allowed us to enjoy high lease-out volumes with favorable yields and long tenure as well as strong gains on sales from depot containers. During the third quarter, we leased out 210,000 CEU of factory and depot containers under favorable terms, maintaining our average utilization rate at 99.8%. During the 9 months ended September, we leased out almost 600,000 TEU as our total fleet continued to expand significantly. We continue to successfully review and extend maturing leases into lifecycle leaves us with loan maturities for the remaining useful life of the containers. This further secures stable future cash flows and mitigates market cyclicality. During the third quarter, we deployed $622 million in CapEx for a total of approximately $1.7 billion through the first 9 months of the year, which is in addition to the almost $900 million deployed in the second half of 2020. We remain a very active market participant and have placed additional orders for more than $250 million of containers for delivery in the fourth quarter. As of the end of the third quarter, our entire lease portfolio, including short-term leases, now has an average remaining contractual tenure in excess of 6 years and our container fleet has a young average age of 4.5 years. As a reminder, the rental rates in our lease are locked in for long-term duration and typically, for an additional 6 to 12 months given the restrictive schedule of permitted return locations. New container prices remained consistent at about $3,800 per CEU driven by sustained demand, capacity management, and increases in material cost. Production levels have ramped up significantly this year and we expect container production to exceed 6 million TEU in 2021. This is a record level, which must however be viewed in line with a low production level of the preceding years. Total factory inventory level remained reasonable at the 1-month equivalent of current production. During the year, we have also further strengthened our financial position through the optimization of our debt financing. As of the end of the quarter, our effective interest rate now stands at 2.6%, with 89% of our debt at fixed rate, with an average remaining tenure in excess of 6 years. Over the next several years, we will continue to benefit from the de-risking achieved through the longer lease tenure and optimized fixed rate debt, which has effectively locked in attractive long-term economic gains. As we look to the balance of the year and into 2022, we expect the current favorable market macro environment to continue. Cargo volumes are expected to remain strong for the full year of 2022 due to the continued high consumer spending, the restocking of low level inventory and the worldwide port congestion. We expect new container prices to remain high as manufacturers maintained a disciplined approach to production capacity and as component costs have also increased. We expect this to continue to support high utilization rate as well as high resale prices further supported by the corresponding limited supply. Overall, we expect our customers to continue to benefit from very favorable ongoing market condition and strong ocean freight rates. While we expect the tailwinds driving the current market conditions to persist through 2022, we expect to see a return to a more normalized level of container CapEx following several quarters of historical container production. Nonetheless, we anticipate continued growth of our balance sheet given the projected high container prices. We are focused on delivering a long-term balanced approach of driving organic growth through disciplined accretive CapEx investments, while returning capital to common shareholders through our ongoing share repurchase and reinstated dividend programs. We have repurchased over 1.6 million shares through the first 9 months of the year, including approximately 524,000 shares during the third quarter. This represents approximately 16% of shares, which were outstanding when the program commenced in September 2019. The board and the management team continued to see share repurchase as an efficient use of our liquidity. In line with this, our Board has authorized a further increase of $15 million to our existing share repurchase program, bringing its total to $200 million. Taking this into account, we have $78 million available for Q4 onwards under the share repurchase program. We remain highly confident in our business future performance and expect to remain both active and opportunistic as it relates to share repurchase activity. In addition, as I highlighted earlier, I am very pleased to announce that the Textainer board has decided to reinstate a quarterly dividend program for common shareholders. This is again supported by our confidence in the underlying long-term business fundamental and our reliable stable cash generation capability. Efficiently managing shareholder capital with a focus on total shareholder return is key to our capital allocation strategy and the reinstatement of the dividend program demonstrating this adding to our already strong share repurchase program. In summary, I am extremely proud of both the financial and strategic performance of Textainer. We plan to continue our approach towards fleet growth, investing selectively in the most attractive opportunities to deliver long-term value to our shareholders through strong operational and financial performance, book value growth, dividends and share repurchases. I will now turn the call over to Michael who will provide a little bit more color regarding the financial results for the third quarter.
Michael Chan: Thank you, Olivier. Hello, everyone. I will now focus on our Q3 financial results. As Olivier highlighted, we are pleased to deliver another quarter of very positive results, which reflects the consistent execution of our strategic initiatives and the positive momentum in our business supported by our impressive underlying fundamentals and performance. Q3 adjusted net income increased to $77 million, another strong showing and an increase of over 250% year-over-year. Q3’s number represented a 10% increase over Q2 if normalized for $6 million in non-recurring revenue received in the prior quarter. Q3 adjusted earnings per share increased to $1.52 per diluted common share, another attractive level and an increase of over 270% year-over-year resulting from strong performance and the positive impact from our share repurchase program. We are also very pleased that this results in an annualized Q3 adjusted ROE of 22%. Q3 adjusted EBITDA increased to $184 million, a year-over-year increase of 55%, illustrating the material cash generation from our historic level of CapEx during the last 2 years. If Textainer also included all cash receipts from its finance leases within Q3 adjusted EBITDA, the Q3 number will be $235 million, arguably another illustrative and meaningful cash generation metric. Q3 lease rental income increased to $296 million, a year-over-year increase of 31%. Normalized in Q2 for $6 million in non-recurring revenue, Q3 lease rental income increased by $14 million, or 8% from Q2. Our positive top line results were driven by organic fleet growth supported by very attractive long tenure leases, favorable fixed rate yields and increases in average rental rates. We expect to deliver another improvement to lease rental income in Q4 as we continue to recognize the benefits from attracting container investment and lease renewals and extensions. We are very pleased with our utilization rate, which has remained at an average of 99.8% through the quarter and to-date. Q3 gain-on-sale of owned fleet containers continue to show well at $20 million, a slight increase compared to Q2 driven mostly by consistent and attractive resale container prices. While resale prices are expected to remain strong during the fourth quarter, we expect resale activity to be constrained by low inventory, consistent with high utilization levels and very limited off-hires. Q3 direct container expense was $5 million and it remains at very controlled levels primarily due to lower storage, maintenance and handling costs resulting from high utilization and very limited depot inventory. We remain focused on driving cost efficiencies and we expect direct container expense to continue to range within levels seen this year. Q3 depreciation expense was $73 million and is expected to increase in Q4 due to container fleet growth. Q3 G&A expense of $13 million increased $2 million compared to Q2 driven by an increase in incentive compensation and benefit cost associated with improved company performance and technology investments. We expect G&A expense to remain at this approximate level going forward. Q3 interest expense, including realized hedging costs was $33 million, an increase of $1 million from Q2. This was primarily driven by higher average shutdowns due to the funding of attractive CapEx opportunities reflected in our substantial fleet growth, which was largely offset by our lower effective interest rate in Q3. We took further action to optimize the capital structure and enhance our financial flexibility in Q3. In August, we issued $600 million of fixed rate ABS notes and $209 million of fixed rate term loans both at attractive pricing and terms. The resulting proceeds were used to create additional borrowing capacity for future container investment as well as refinance approximately $208 million higher priced ABS notes. In accordance with the early redemption provisions of the called notes, we made a loan termination payment of approximately $11 million and also wrote off approximately $1 million in unamortized debt issuance costs. Forward interest savings from the refinance of these higher-priced ABS notes will recoup the loan termination payment in a little over 2 years. Our effective interest rate continues to drop from the proactive refinancing and management of our debt portfolio averaging 2.63% during Q3 and ending the quarter at 2.6%. 89% of our debt portfolio also comprises a fixed rate debt to mitigate forward interest rate risk. We also issued $150 million in Series B perpetual preferred shares in August at attractive terms. Our preferred share program continues to be an important component of our capital structure, providing attractively priced capital and enhancing the flexibility of our capital allocation program. Turning now to our share repurchase program, we repurchased approximately 524,000 shares at an average price of $31.63 during Q3. As Olivier mentioned, during September, our Board authorized an increase of $15 million to our share repurchase program, which now has $78 million remaining. We have already repurchased approximately 16% of our shares outstanding since the inception of our program in September 2019 and we will continue to repurchase shares opportunistically as we move forward consistent with our capital allocation plan. We are indeed very pleased to announce the reinstatement of our common dividend program in order to provide a consistent and reliable cash return to our shareholders. Our board has approved and declared a cash dividend of $0.25 per common share payable on December 15, 2021 to shareholders of record as of December 3, 2021. Please note consistent with our prior common dividends, our common dividend distributions maybe currently treated as a return of capital by U.S. taxpayers. But our shareholders are advised to consult with their tax advisors and to review the dividends section on the textainer.com Investor Relations webpage. Our Board has also approved and declared a quarterly preferred cash dividend for both our Series A and Series B perpetual preferred shares payable on December 15, 2021 to holders of record as of December 3, 2021. Looking now at our balance sheet and liquidity, we continue to maintain a healthy balance sheet and adequate liquidity through both our well-structured bank facilities and cash reserves. We ended Q3 with a cash position, inclusive of restricted cash of $261 million. In closing, we believe Textainer remains well positioned with a solid balance sheet, healthy liquidity and optimized capital structure and demonstrated expense control and efficiency. We remain confident in our ability to further improve our profitability metrics. In addition, we are committed to sustain long-term shareholder value creation through strong financial performance and our share repurchase and dividend programs. This concludes our prepared remarks. Thank you all for your time today. Operator, please open the line for questions.
Operator:  The first question comes from Michael Brown from KBW. Please go ahead.
Michael Brown: Hey, Olivier. Hey, Michael. How are you guys?
Olivier Ghesquiere: Good. Hi, Mike.
Michael Chan: Hey, Mike. Good. Well, thank you.
Michael Brown: Great. So, wanted to start with leasing revenue, so I think you mentioned that for the fourth quarter, you have got $250 million of containers that have been ordered for delivery in the quarter. Is that all committed to customers and how should we think about how that will ramp up in terms of leasing revenues at really more of a first quarter 2022 event? And then maybe a second part there is, is it fair to assume that the ramp in the fourth quarter from the full benefit of containers that were picked up in the third quarter? And if so, is there any guidance you can give us as to what that potential pickup sequentially will be in leasing revenue into the fourth quarter?
Olivier Ghesquiere: Yes. Thank you, Mike. I think as you can tell from the number this quarter, we again have very strong performance on the revenue. And I think we are really, really happy with that. And it’s really the result very much of us getting our timing right here. I think we bought a lot of container prior to the peak season and a lot of those containers went on lease actually extremely fast in the third quarter or the beginning of the third quarter. And that’s why you have seen a good performance there in the third quarter and in the second quarter prior as well. As we mentioned earlier on, we have somewhat reduced the amount of capital that we have deployed and the number of containers we have ordered. So, that’s to time it with the normal market cyclicality, but we still expect that we are going to get the full impact of those containers on-hire in the third quarter – in the fourth quarter. So, there should still be some improvement in the top line most definitely. Going forward, I think that we continue to see many opportunities to deploy capital, but we probably won’t see a repeat of this market. I think we have seen an absolutely incredible market and into some large extent, we continue to see an absolutely incredible market, but we predict that the growth will somewhat moderate going forward. But because containers are very expensive, for fewer containers, you still need to deploy a certain amount of capital. And that means that we continue to see our balance sheet growing into next year and our revenue also growing into next year, but probably at a slower pace than certainly what we have seen over the second and third quarter.
Michael Brown: Okay, great. That will make sense. So, I wanted to talk about capital allocation and the capital return was clearly major topic of your prepared remarks. I was looking at your Slide 10 and I noticed that there is a new exhibit there that shows the portfolio runoff analysis of the existing fleet here. And that slide points out that there is – again, it’s illustrative, but it does point out that there is $10 million of total cash receipts coming over the life of the portfolio. So clearly, it puts a spotlight on the strength and visibility that you have into your cash flows. And so would that basis, how are you going to really balance the CapEx dividends and the buybacks here over the coming quarters? And anyway to size what you think maybe the case for buybacks here in the given quarters is it sounds like it’s probably going to be above any prior periods. So, we don’t really have a lot of history to look at, but we would love to get maybe frame what those buybacks could ultimately look like?
Olivier Ghesquiere: Yes. No, I think, we have – let me restate this, we are really, really happy that we are resuming our dividend program. We had always stated that this was our long-term objective. And we are happy we are doing it now probably to some extent a little bit earlier than some people may have expected given the extremely strong market environment and the fact that we have continued to deploy CapEx and we continue to deploy CapEx, but it is I think also a reflection of our confidence in those future cash flow. And you rightly point out that Slide 10 is meant that illustrating how solid the outlook is for us for the coming at least 5 years, if not, well beyond that, actually. Now, the capital allocation I think is difficult question not so much in the sense of what is the best to do, but it’s difficult to read the market as we stand now. It’s obvious that if we continue to see opportunities to deploy capital and turn under these extremely long-term leases and these attractive yields, that is going to continue to be or priority. If that was to slowdown, then we definitely turn to the concept of returning capital to shareholder. And we have two levers here. We can either pay a dividend or we can buyback share. And I think we have also demonstrated that we kind of see the share as very attractive – as an investment for Textainer. We have bought 16%, if a little bit more since the buyback program started. The board increased our authorization to buyback more shares. So it would really depend on how the market plays out in terms of CapEx opportunities and how we see the environment evolving. But I think the chart on Slide 10 demonstrates that there is a big potential there for returning capital to shareholders if we are not seeing huge opportunities to continue to invest profitably. And as we stated as well in the earlier remarks, we intend to be very, very disciplined. And if we don’t see investment opportunities with the right return, we are just going to stay out of the market for a little while. I think that’s very important. But again as far as we can tell, there are still very attractive opportunities at the moment.
Michael Brown: Yes. I guess maybe just one follow-up on that same topic. Just there is certainly uncertainty about what the CapEx needs will ultimately be and it does sound like the market is still strong enough to where you still see some good opportunities to invest over the coming quarters. And clearly, you do want to pay a dividend to your long-term investors, which is great to see that, that has been reinstated. And it is about a quarter ahead of where we were expecting, but of course, great to see the dividend back. But I guess my question is, given your leverage levels are running kind of below historical levels, would you ever consider levering up a little bit here to just support higher, more elevated buyback activity while still being able to do CapEx and pay the dividend?
Michael Chan: I think, our business is definitely predicated on leverage. Would we want to necessarily increase our leverage? I think within a certain range, we are happy to have a higher leverage, because it helps us improve our overall returns. But I think if you look at our ability to generate cash and I think we have a little summary on one of our slide, I think it’s Slide 14 of our IR deck, I would say that there is already their potential to generate a very high amount of cash that would imply that we don’t really need to increase the leverage to return more capital to shareholder if we decided that, that was the course of action we wanted to follow.
Michael Chan: Yes, Mike, it’s Michael here. If I could add on to Olivier’s comments, so just to be very clear, we certainly see the value in executing buybacks as a highly attractive method of returning capital to our shareholders. And of course there is indeed a long-term benefit there. You are correct we have a lot of room in our leverage. You are alluding to the fact that we are a little bit below 3x debt to equity. So we are in a very strong balance sheet position. We generate lot of organic cash flows. And we have power within our credit facilities with a borrowing ability that’s sitting in now. And yes, it underpins the fact that we could deploy it to CapEx for really good opportunities, but we certainly do value buybacks and we could use organic cash flows in and if we want debt as well, but there is plenty of organic cash flow here indeed that we can use for the above by all means.
Michael Brown: Okay, understood. Thanks for all the color guys. I will leave it there. Thank you.
Olivier Ghesquiere: Thanks Mike.
Operator: The next question comes from Liam Burke with B. Riley. Please go ahead.
Liam Burke: Thank you. Good afternoon, Olivier. Good afternoon, Michael.
Olivier Ghesquiere: Hello, Liam.
Liam Burke: The market that we are looking at right now you have the manufacturers, you have your markets, your competitors and then you have your customers and all of them are operating more or less rationally in their different spaces. Do you see anything that will upset this situation where all the players are behaving well or acting rationally?
Olivier Ghesquiere: Very good question. At this point, we see very much a continuation of this environment going forward. And if you allow me to diverge a little bit, the question we always get is, okay, how long will this last. And I think that and what needs to be done to resolve that and that if there was an easy answer, it would have been found right now. In my opinion, it’s really about consumer demand that is running very high. And this can only be resolved in two ways. It’s either with consumer demand coming down a little bit, or with infrastructure investment increasing. And as you can guess, infrastructure investment takes a long time. So, our view is very much that the environment here is there to stay for some time. And I think that because of that, we are unlikely to see a major change in the behavior of the various player in the industry. I think that the shipping lines operate in a very tight environment. Their prices are extremely high. And those ocean freight rates are unlikely to come down, as long as the congestion remains in place. And it’s difficult to ship goods. There is still plenty of cargo waiting to be shipped in Asia. So, shipping lines really are in an environment where that there is absolutely no need to change their behavior. Likewise, container manufacturers are operating in an environment where it is only three major manufacturers. They are charging expensive prices for their containers. And I think they have fully understood that the demand is not going to change very much if their pricing varies. So, they have a vested interest in maintaining the high pricing level that we have now witnessed for at least since the beginning of this year. So, we really can’t see why manufacturing prices would drop. Component costs have actually gone up, which has somewhat reduced their margins. But let’s be honest, their margins are still very healthy at the moment. But they have no incentives to change behavior. The first signs are that as far as we can tell, when they can’t get enough order, they prefer to reduce production and working hours at the factory. So, that’s certainly a sign that they are not changing their behavior. And as you know, concerns leasing company, it’s pretty much a similar environment, we have five major players. There has been a bit more consolidation this year. And leasing company haven’t necessarily gouged on customers in terms of the prices that have been seen on the market. Durations have certainly been extremely positive and yields have been attractive. But prices haven’t been completely unreasonable. So, I would say that, likewise, that there is no risk here that the major player would suddenly change their behavior. And I think that the inventory levels of most players is also extremely low with everybody enjoying utilization rate above 99%. So, it would take quite a few quarters until we would see potentially a change in behavior here.
Liam Burke: Great. And your gain on sale has still remained pretty strong, I am presuming that prices are high just because new container pricing is higher, and that’s taking the resale value up. But are you seeing broader demand for used containers or is it just the same customer base? I know it’s pretty diverse.
Olivier Ghesquiere: Yes. It’s a different customer base, but the high price on the secondary market are driven by two elements. You are correct to point out the price of new containers. But also simply, supply has been extremely restricted, because in the current environment, the shipping guys have been holding on to their existing containers or their leave containers and they haven’t turned in any container. So much so that the hardest part when it comes to building our budget for next year for ourselves, for example, is trying to estimate how many containers we will have available for sale, because customers are holding on to those containers, and they are fully utilizing them. And moreover, they are faced with a choice of either redelivering an old container and potentially replacing it with a new container, that’s going to be a lot more expensive, which really means that they have a lot of incentive to hold on to the older containers. And that really means that, it’s very difficult for us to try and estimate how many containers we are going to have available. And obviously, that plays around for other lessors, and whatever quantity shipping lines would normally sell directly on the secondary market has been dramatically reduced. And that’s what has also pushed secondhand prices to the roof in the recent quarters.
Liam Burke: Great. Thank you, Olivier.
Operator: The next question comes from J Mintzmeyer from Value Investor’s Edge. Please go ahead.
J Mintzmeyer: Hey, good afternoon, Olivier. And Michael, congrats on a fantastic quarter.
Olivier Ghesquiere: Yes. Hi, J. Welcome to the call.
J Mintzmeyer: Yes. I have already been following your company for a few quarters, now. It’s great to be on the call and to see this, our resumption of the dividend. I have some capital allocation questions. But Michael had some great inputs there as well. So, we will wait on those for a second. But the first question I want to ask is on the current lease durations and the economics we are seeing there, trying your main competitor report a couple of weeks ago, and they have showed a far smaller amount of CapEx in Q3. And they showed the lease duration is going to about 10 years as opposed to that 13 years to 14 years. Can you talk a little bit on the lease durations you saw for Q3 and the ones you are signing right now for Q4, what sort of tenor duration are those leases? And what sort of economics are you seeing?
Olivier Ghesquiere: We are seeing a pretty much a consistent situation, I think that comparing the deals that Triton got and the deals that we got, maybe a little bit misleading, because some customers tend to operate a little bit differently. What is certain is that the duration remain extremely long in historical terms. They are all above 10 years. I mean our lease durations have remained above 13 years for whatever lease we close in the third quarter. But then again, it depends very much on which customers are booking container at what point in time. What is certain is that as I have said that the lease maturities are very long, the yields are also remaining very, very attractive. We haven’t seen leases coming below 10 years. I think that if the market slows down, we are probably going to see leases shortening a little bit to 8 years, which is certainly we haven’t seen that so far. And for the fourth quarter and I would dare to venture even into next year, we continue to see extremely long maturities in line with what we have seen since the beginning of the year.
J Mintzmeyer: Yes. The economics are certainly fantastic. But of course, that 13 years to 14 years was particularly interesting, because that’s basically the entire life of the container box there. You talked a little bit about the sale timing and roles of some of your legacy tonnage. I have noticed in your presentation, you have a significant amount of containers, which are expired. But I also understand there is like a 1 year kind of grace period there. Can you talk a little bit more on the timing of those sales, because we would expect the sales to be extremely profitable, and we would expect the rolls to also be profitable? Is that still you are expecting after Chinese New Year, is that we should look at Q1, Q2 of ‘22. Is that still feasible?
Olivier Ghesquiere: Yes. That’s a very good point, J. If there is a time where we can potentially expect containers to start coming back or trickling back, I would say it’s going to be after Chinese New Year. I think that right now shipping lines continue to see mountains of cargo. And they definitely don’t want to start returning the order container, even if they are in sometimes in pretty poor condition, they will stretch them because they know that demand is going to remain extremely strong, at least until Lunar New Year, if not thereafter. So, the first point, looking forward where we could start seeing some containers coming back is after Chinese New Year. And we typically have a period there sort of like running between February and May before the next peak season starts where shipping lines will normally try to optimize their fleet. And after now more than 18 months running at full capacity, we will be completely surprised to see a few containers starting to come back because they are so damaged that shipping lines decide that okay, now they are going to redeliver those and take some new containers into their fleet. And obviously, that will represent a great potential for us to improve or gain on sales, if that materializes. And we are very much at this point, thinking that if we see containers coming back, we are not going to see them coming back in very high volumes, meaning that prices may correct a little bit compared to the incredibly high prices today, but they are going to continue to remain very elevated. But obviously, everything I say here is our own judgment and all read-off of the market. But going forward, because of all the reasons I mentioned earlier on, we continued to see elevated price for resale container. The big question is more when they will start coming back. And we can’t rule out that the market remains so strong that shipping line delay, the redelivery of those containers even further.
J Mintzmeyer: Yes. Thanks for the interesting – to follow that and see how that pans out. Hopefully, you are correct on the – your guess there. I would like to pivot to capital allocation. Michael Brown had some fantastic questions as well. So, I don’t want to beat the dead horse too much. But I think it’s what most shareholders really care about. Slide 14 is actually you have the chart there that shows about $921 million, I believe it is if you take Q3 annualized and go forward on that. Let’s talk first of all about CapEx, because I am curious about how you are seeing Q4 developing, how you are seeing 2022 developing, I believe you had $622 million of Q3 CapEx, you had $1.7 billion year-to-date, we are at a third of the way through Q4, imagining most of your Q4 bookings would already have to be done by now. Can you give any sort of light on how much we can expect in Q4 for CapEx, any shorter range?
Olivier Ghesquiere: Well, as we disclosed, I think we have already committed, $250 million, that is where we stand today. We could obviously, deploy a little bit more. But there is always kind of a lead time between the order and the delivery of those containers. So, I don’t expect that number to be marginally or substantially different from the $250 million already committed for the fourth quarter.
J Mintzmeyer: Yes, it certainly makes sense. I mean we definitely see that the growth, at least right now is slowing down, which means there is a lot more free cash flow available for shareholder returns. And I think we danced around a little bit earlier. But the question on that is the dividend resumption is great, right? I don’t want it to be a situation where we are seizing defeat from the jaws of victory. But that dividend is miniscule, right, it’s tiny. And I realized the first one, I realized you are just bringing it back now. But it’s a tiny percentage of the free cash flow you have, it’s smaller than your peer Triton has. So, can you talk a little bit about potential of that dividend? Is that just kind of foot in the door? We are going to see what happens next quarter and see what happens quarter after that. Do you have any sort of longer term vision on what sort of payout ratio you could expect, because a $0.25 a quarter payout ratio? It’s like 7% or something of your free cash fund if I am doing the calculation, correct?
Olivier Ghesquiere: Yes. No, you are right J. I think the most important factor for us here was to resume our dividend program and in deciding so it’s obviously a Board decision. But I think the fundamental element here is that the Board and the management wanted to make sure that we had the ability to support that dividend through whatever cycle or whatever may hit the business going forward, that’s the first element. The second element is that we continue to think that 2022 could very well see a very strong year again. I am seeing here that an earlier on that we think it will be logical that the total CapEx level come down compared to 2021, because they are exceptionally high. But this market has been so unpredictable, that we can’t rule out that we are going to continue to see a very strong year next year. And I think that it’s only prudent for us to keep a little bit of capacity to continue to be able to address that potential CapEx, if that was ever to materialize. And probably the final elements here is really that given the sustainability of our cash flows and the outlook we see for the business, we think that buying back share is also very important. And that we really like to see this in line with buybacks and then the combined form the total shareholder return, and you can’t sort of like, look at the dividend and exclude the buyback programs that we have in place as well.
J Mintzmeyer: Yes. That certainly makes sense and very happy to see the dividend. Just looking at your total cash flow, your total cash flow is enormous, and it’s only going to get better. So, we are excited about that. It looks like if you do the same CapEx in ‘22, as you did this year, which is about $2 billion, and I know it would be phenomenal if you are able to reinvest $2 billion into new growth, I think that would be on the high side, if anything, it seems like. But based on your slide on Slide 14, that’s only half of your capacity and you still have $450 million, $500 million of cash flow leftover. And the dividend is only 50. So, it just seems like there is a lot of potential to repurchase or do something more. So, are we expecting basically maybe like a quarter-to-quarter update, then maybe we should talk in, I guess early February. Is that fair?
Olivier Ghesquiere: Yes. I think we should continue to talk about it every quarter actually.
J Mintzmeyer: Alright, phenomenal. Keep up the great work Olivier and Michael, have a good one.
Michael Chan: Thank you, J.
Olivier Ghesquiere: Thanks, J.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Olivier Ghesquiere for any closing remarks.
Olivier Ghesquiere: Yes. And thank you everyone for attending this call. And we certainly look forward to host you next quarter with further insights into this exciting markets. Thank you.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.